Operator: Good day, and welcome to the Everest Group Limited Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. Now I would like to turn the conference over to your host today, Matthew Rohrmann, Senior Vice President and Head of HR. Please go ahead.
Matthew Jay Rohrmann: Thank you, Keith. Good morning, everyone, and welcome to the Everest Group Limited Second Quarter of 2025 Earnings Conference Call. The Everest executives leading today's call are Jim Williamson, President and CEO; and Mark Kociancic, Executive Vice President and CFO. We're also joined by other members of the Everest Management Team. Before we begin, I'll preface the comments by noting that today's call will include forward-looking statements. Actual results may differ materially, and we undertake no obligation to publicly update forward-looking statements. Management comments regarding estimates, projections and similar are subject to the risks, uncertainties and assumptions as noted in Everest's SEC filings. Management may also refer to certain non-GAAP financial measures. Available explanations and reconciliations to GAAP can be found in the earnings press release, investor presentation and financial supplement on our website. With that, I'll turn the call over to Jim.
James Allan Williamson: Thanks, Matt, and good morning, everyone. Everest delivered a strong second quarter. Contributions from underwriting and investments drove net operating income of $734 million and an annualized operating ROE of nearly 20%. Our results underscore the strength and resilience of our platform. Underwriting profit totaled $385 million on a combined ratio of 90.4%. This reflected light cat experience and $39 million of favorable prior year development in our Reinsurance attritional property book. We maintained prudent loss picks across our portfolio with a 60.1% loss ratio. Gross written premium declined slightly year-over-year. Reinsurance GWP rose 1.1%, while Insurance declined 3.1%. Growth excluding deliberate U.S. casualty portfolio actions in both divisions was 11% and 7%, respectively. Net investment income was strong at $532 million, supported by favorable private equity performance. Moving on to Reinsurance, which delivered an excellent quarter, generating $436 million in underwriting profit, up $133 million from prior year. The combined ratio was 85.6%, reflecting improvements in our business mix and minimal catastrophe losses. Reserve releases improved the combined ratio by 1.3 points in the quarter while losses associated with the recent U.K. court aviation ruling added 3.2 points. Improved mix drove a 30 basis point reduction in both the attritional loss ratio and attritional combined ratio to 56.7% and 84.1%, respectively. We continue to grow in property with premiums up about 8% over prior year. Property Cat XOL grew over 15% and Property pro rata north of 8% as risk-adjusted returns remain attractive. Our differentiated access to clients affords Everest high-quality opportunities despite rising competition. Casualty premiums declined 7.3%, while our casualty pro rata book was down 15% as we reduced targeted exposures. Primary casualty rates are rising, but the persistent level of ceding commissions and continued legal system abuse inform our conservative approach. We continue to see attractive opportunities in our global specialty platform, particularly in engineering, renewable energy and our world-class parametric business. Turning to midyear renewals. Property Cat rate change met our expectations and risk-adjusted returns for our cat portfolio remain attractive. Importantly, terms and conditions are holding. Property Cat rate for our portfolio was essentially flat at 6.1% as the vast majority of our signings were done at preferential rate and terms. We're also beginning to see the benefits of Florida tort reform, which has not been factored into our pricing. Market conditions at 7/1 largely follow the trends seen throughout the year. We continue to reshape the portfolio, expanding in U.S. property, in Asia and in Latin America, while reducing our U.S. exposed casualty business. We have shed approximately $800 million of casualty pro rata business since the beginning of 2024. Our superior execution and deep relationships position Everest to optimize our share in attractive programs with core cedents, in many cases, with favorable economics. In short, our Reinsurance business is well positioned to deliver regardless of the external environment. Moving on to Insurance where we are rapidly reshaping our portfolio. The division recorded an underwriting loss of $18 million with a combined ratio of 102% and an attritional loss ratio of 68.7%. Results reflect ongoing prudent loss picks, particularly in casualty, as we continue to build our risk margin. Lower earned premium, coupled with investments in our global platform led to a higher expense ratio. Gross written premium declined approximately 3% year-over-year driven by our 1-Renewal Strategy in North American casualty, which will be completed in the third quarter. Casualty premiums decreased 27% in the quarter. 47% of casualty business in the quarter was not renewed. This was partially offset by strong rate increases, which averaged 16% for the casualty business we retained, led by Excess/Umbrella and Commercial Auto, each increasing in the high teens. Importantly, rate exceeded expected loss trend across Commercial Auto, General Liability and Umbrella lines. It's early, but we're already seeing results from our actions to improve the quality of our casualty portfolio. In the quarter, 88% of retail casualty gross written premiums had loss sensitive structures and 86% was in our best classes of business. Make no mistake, Everest Insurance is open for business to write well-priced and well-structured casualty accounts. Premium growth across all lines, excluding casualty was 7% globally, with strength in Specialty, Accident & Health and across our International business. Specialty and A&H grew 40% and 24% year-over-year, respectively. In property, global premiums increased 5% with 21% international growth, offsetting a 2% decline in North America. While still attractive, the primary property market is increasingly competitive, especially in North America large accounts. Nonetheless, our long-term investments in talent and systems give us runway for disciplined growth. Our wholesale platform, Everest Evolution continues to capitalize on opportunities in the E&S market. We have expanded industry specialization and new offerings, driving growth in targeted higher-margin segments of the market. Our International Insurance business is progressing well, with a 23% growth rate this quarter and improving margins. We're making investments in key capabilities to support the business at scale. International is profitable with the more mature operations like U.K. wholesale and European retail achieving low 90s combined ratios this quarter. Moving to reserves. We continue to build risk margin in the current accident year. In Reinsurance, we recognized favorable development in well-seasoned property lines. In Insurance, we remain consistent with our booked position. Mark will provide additional commentary on reserves and our recently published global loss triangles. Now turning to capital management, which remains a strategic priority for Everest. In the second quarter, we repurchased $200 million worth of shares. Year-to-date, we have returned $400 million to shareholders in the form of buybacks, repurchasing approximately 1.2 million shares. In closing, I'm encouraged by our progress and strong performance this quarter. Reinsurance continues to produce excellent results. In insurance, the expertise and capabilities we've built in property and specialty lines globally are proving beneficial. Our 1-Renewal Strategy in U.S. casualty has already improved the quality of the portfolio, which we believe will result in more consistent profitability over time. Looking ahead, we remain focused on executing across both businesses, managing the cycle with discipline, and building long-term value for shareholders. With that, I'll turn the call over to Mark.
Mark Kociancic: Thank you, Jim, and good morning, everyone. Everest delivered a strong second quarter, generating $734 million of net operating income, an operating return on equity of 19.6% and an annualized total shareholder return of 14.8%. Our results this quarter reflect strong contributions from both underwriting and our investment portfolio. Starting with Group results. Everest reported gross written premiums of $4.7 billion, representing a 0.7% decrease in constant dollars and excluding reinstatement premiums. As Jim mentioned, the combined ratio was 90.4% for the quarter, and these strong results were driven by relatively light catastrophe losses and favorable prior year reserve development from well-seasoned attritional property reinsurance reserves, representing a 1 point benefit to the combined ratio. This was partially offset by aviation-related losses associated with the U.K. court ruling, which contributed 2.5 points to the group combined ratio. The Group attritional loss ratio increased 1.3 points to 60.1% in the quarter. Moving to Reinsurance. Gross written premiums increased 1.6% in constant dollars when adjusting for reinstatement premiums during the quarter. Consistent with prior quarters, solid growth in property and specialty lines were partially offset by continued discipline in casualty lines. The combined ratio was 85.6%, an improvement of 3.3 points from the prior year. Favorable prior year development contributed 1.3 points to the improvement. Catastrophe losses were de minimis this quarter, while the prior year quarter included $120 million or 5 points on the combined ratio. The aviation losses associated with the Russia-Ukraine war of $98 million added 3.2 points to the Reinsurance combined ratio. And we included these in a separate line item, as you would have seen in our earnings release and financial supplement. There were $14 million of reinstatement premiums associated with the aviation losses, bringing the net loss to $84 million. Moving to Insurance, gross premiums written decreased 3.3% in constant dollars to $1.4 billion. Strong growth in Other Specialty and Accident & Health was more than offset by the aggressive actions we are taking in U.S. casualty lines, centered around our 1-Renewal Strategy. As a result, Specialty Casualty gross written premiums fell to 22.2% of the Insurance segment mix, a decrease of over 7 points from the prior year quarter. The attritional loss ratio increased to 68.7% this quarter, reflecting our disciplined approach to setting and sustaining prudent loss picks as we build risk margin in our U.S. casualty lines given the elevated risk environment. The 2024 global loss triangles we posted to our website in late June reflect the decisive reserving actions taken at year-end, and we also enhanced the level of disclosure by adding detail and commentary to each line of business, and we plan to continue enhancing our disclosures moving forward and provide additional information around our reserve position. Our Q2 U.S. casualty loss development is consistent with our expectations, and social inflation dynamics persist at levels that are within our assumptions. While it is still early, we believe the conservatism we are applying to our loss picks in conjunction with our underwriting actions and improved portfolio quality is building risk margin in our portfolio. Overall, the reserve position of our Insurance division is adequate. The underwriting related expense ratio was 18.9%, with the increase driven by slower casualty earned premium growth from our 1-Renewal Strategy as well as the continued investment in our global platform. In the Other segment, the quarter includes a $20 million loss provision for our intellectual property business, which is in runoff, and the segment's combined ratio was also impacted by catastrophe losses of $10 million. Moving on. Net investment income increased to $532 million for the quarter, driven by higher assets under management and alternative assets generated $110 million of net investment income in the quarter and benefited from strong returns in private equity investments. Overall, our book yield decreased slightly to 4.6% as foreign currency bonds with lower yields become a larger proportion of our portfolio. While our reinvestment rate remains north of 5%, we continue to have a short asset duration of approximately 3.4 years, and the fixed income portfolio benefits from an average credit rating of AA-. For the second quarter of 2025, our operating income tax rate was 16.4%, which was just below our working assumption of 17% to 18% for the year. Shareholders' equity ended the quarter at $15 billion or $15.3 billion when excluding $252 million of net unrealized depreciation on available-for-sale fixed income securities. Book value per share ended the quarter at $358.8, an improvement of 12.1% from year-end 2024 when adjusted for dividends of $4 per share year-to-date. We continue to view share repurchases attractively as we repurchased 581,000 shares in the quarter, amounting to $200 million or an average of $344.30 per share, and we expect to take a tempered approach in the third quarter given wind season. And all other things being equal, we expect to look to resume the pace of share repurchases in the fourth quarter and into 2026. And with that, I'll turn the call back over to Matt.
Matthew Jay Rohrmann: Thanks, Mark. Operator, we're now ready to open the line for questions. [Operator Instructions]. Keith, over to you.
Operator: [Operator Instructions] And the first question comes from Andrew Andersen with Jefferies.
Andrew E. Andersen: The underlying loss ratio insurance about 69% and if we look at year-over-year about 6-point increase which is essentially the risk margin put in place. Over the next kind of 1 to 2 years, should we think of that 6% staying in place, but perhaps there's some benefit on mix shift to international and short tail?
Mark Kociancic: Andrew, it's Mark. I think the approach that we want to take on this, there's a few pieces to unpack here. So obviously, we're committed to a risk margin given the uncertainty of [indiscernible]. I think 2025 is a little heavier than we might see in the future, given the runoff of the older unremediated portfolio stemming from essentially Q3 last year. Having said that, we're going to make sure that the data is supporting any conclusions that lead us to reduce the need for elevated loss picks, including that risk margin. I do think the mix of business will provide a meaningful impact in the overall loss ratio as it evolves and the net earned premium begins to grow in. And to your point, the combination of the international business that we're writing and the increase in short tail lines here in North America are going to be the principal drivers of that. And I would also point to the fact that the percentage of casualty has been reduced almost 7 points to a little over 22% in the second quarter's composition. So you can see that trend starting in place. The earned will take a while to catch up, but that's kind of the overall view.
Andrew E. Andersen: And then on the expense, I think I heard you say some international investments. Were they maybe a little bit lumpier this quarter? And perhaps you could just talk about how you're thinking about the pace of international investments in insurance?
Mark Kociancic: Yes, it's a bit lumpier. International is growing at a faster pace than North America. So proportionately becomes a larger component of the combined ratio I think the key thing to look at with the expense ratio evolution in insurance is really our ability to leverage the infrastructure that we've built and continue to build in terms of premium evolution. It's really scaling that premium and the commensurate net earned premium that is going to cause that ratio to diminish over time.
Operator: And the next question comes from Alex Scott with Barclays.
Taylor Alexander Scott: I wanted to ask about the Accident & Health growth. Certainly, in some areas of A&H like stop loss, I think it's a harder market. And so maybe there's a good opportunity there. On the other hand, I think some of the health insurers have been experiencing medical cost inflations pressuring their businesses. So I'm just interested if you could provide a little more color on what you're doing there, any nuances to the way you're approaching that market and growing just given a little more uncertainty for loss cost trend?
James Allan Williamson: Sure, Alex. Good question. Look, we like the Accident & Health business. We have significantly diminished the health portion of A&H for us. We really should say accident and we are growing our accident business, both in the U.S. and in our international business at a strong clip. The type of business we're writing, things like business travel accident where companies are procuring coverage for executives who are traveling around the world, participant accident where you have various groups who want accident cover for, could be things like sports participation, nonprofit organizations, et cetera. And so that's the kind of premium we're putting on the books. That tends to be very consistent performing. You're talking about very low severity, more of a frequency business and the performance of that portfolio for us has been strong, which is why we're leaning into it.
Taylor Alexander Scott: Got it. Follow-up question, I guess, just on reinsurance and the renewals. Can you talk a bit more about what you saw in terms of the terms and conditions and the competitive environment on that front? And just how you're seeing the trade-off between the growth and returns you can get versus capital return? And pretty attractive stock price to be buying that?
James Allan Williamson: Sure. Look, if you look at both the June 1 and July 1 renewals, our big midyear renewals, I think it's a pretty consistent story. So at June 1, we had obviously the Florida renewal as I indicated in my prepared remarks, overall pricing was flat, and generally, terms and conditions are not moving, which I think is a terrific sign and speaks to the underlying discipline in the Property Cat market. And I think my expectation is certainly that that's going to sustain itself. And then with respect to 7/1, obviously, you have a much more diverse renewal with a number of markets around the world, having significant renewal dates. There rates down slightly. But again, terms and conditions hold. So you just see this very consistent view that says that discipline in the market is going to be sustained. And again, it informs our expectations as we go forward. And that's why we grew at the 6/1 renewal and in the pockets of the 7/1 renewal that we really liked, we also were able to deploy more capacity at really attractive margins. In terms of the trade-off between capital return and growth into the Property Cat market, I mean, the most important thing to note is we're doing both, and we have the capital strength to do both. I will say, though, that if you look at the expected return from Property Cat pretty much everywhere in the world and certainly in our peak zones like Southeast Windstorm or California earthquake and a bunch of the Japan, et cetera, the ROEs are still very, very strong, and I think would even exceed the attractiveness of repurchase. So that's why we're continuing the strategy of pursuing both actions.
Operator: The next question comes from Gregory Peters with Raymond James.
Charles Gregory Peters: I'm going to focus my first question on just the continuation on the pricing commentary. Listening to the broker calls and some of the other companies that have reported so far, we're hearing of pricing -- more pricing pressure than it seems to be that you're conveying that happened in your renewal. Maybe it's more focused on the facultative market as opposed to the treaty market, but maybe you can just unpack why we're hearing about more pricing pressure, specifically on the 7/1 renewals than maybe you're talking to us about?
James Allan Williamson: Sure, Greg. I mean -- well, first of all, just to sort of contrast the 6/1 and the 7/1 renewal, I would say, rate at the 6/1 renewal for Everest book was flat. The July renewal was down marginally, so call it in the 5% to 10% range. And again, you have a much more diverse set of renewals that are happening at 7/1 and you do at 6/1, which is so Florida focused. And so -- and again, I think that's pretty consistent with what we've seen. The fact that the 6/1 renewal, the fact that we write the vast majority of our programs at nonconcurrent terms, whether that's pricing, terms, conditions, et cetera, certainly speaks to part of that. I think it also has a lot to do with the choices that individual underwriters are making. If you're trying to position your cat portfolio at the very high layers, which is more risk remote where you're competing with cat bond capacity, you probably are seeing more price pressure. We feel like we're in a sweet spot. We're away from the attritional losses. We're a lead market, and so we're getting to drive a lot of the underwriting action that's happening on the programs we're participating in. And so we're not feeling the degree of price competition that maybe some brokers are speaking to. And then lastly, I think your instinct is right, which is, they're dealing with a very broad set of data. It crosses treaty. They could absolutely be speaking about facultative individual risk is more competitive than treaty in my view. And then, of course, retail insurance is more competitive still. So that, I would imagine, explains some of the difference.
Charles Gregory Peters: Yes. Just using the same format on the Insurance segment, I think your business mix skews to the larger side of the market versus the small and midsized market. And in insurance, we're hearing and seeing some pressure on rate there. I understand you're 1-Renewal position on casualty. I've seen the growth in Accident & Health. Just trying to help -- if you could just help us sort of understand the moving pieces against what we feel like is increasing price competition in the larger end of the Insurance segment?
James Allan Williamson: Yes. Well, first of all, that's right. The larger end of the market in retail insurance for property is definitely more competitive. Now similar to comments I would make about treaty property on the Reinsurance side, one of the reasons it's more competitive is because it corrected so strongly to the upside over the last several years that you've got significant embedded margin in those programs, and that's going to attract competition. So it's important, in my mind, to distinguish between what rate change is doing and then where you think you are relative to adequacy. And we still feel like a lot of these programs are above what we consider adequate pricing to take risk. But we are growing more selective. And you saw in the numbers that I described in my prepared remarks, our North America insurance -- property insurance business is more in a flat to down slightly mode at this point as we grow more selective. Now you look globally, and particularly in the international markets, slightly different competitive dynamic and also more of what I would call sort of upper middle market accounts. And we're seeing, again, very adequate pricing, we're leaning into that and growing. And so we continue to feel like the property market is very attractive. And then to your broader point, there are a lot of other parts of this market where we see attractive opportunities. We certainly talked about Accident & Health. I think our global specialties, and this is both a Reinsurance and Insurance comment. We're growing strongly in areas like engineering and marine in our parametric book. There's an energy transition taking place that we all know about that's providing terrific opportunities. So plenty of things for us to do in terms of deploying capital at very attractive returns.
Operator: And the next question comes from Josh Shanker with Bank of America.
Joshua David Shanker: I want to continue on the theme of, I guess, maybe not pricing, but cat a little bit. So PMLs were up in the quarter. They're up year-over-year. I think that's possible to say that maybe you could have and should have deployed more capital at risk a year ago, but hindsight 50-50 or 20-20. Can you talk a little about your desire to increase your PMLs into what some people are describing as softening markets?
James Allan Williamson: Yes, Josh. Look, I think the first thing, just in terms of the premise of your question, we talk about softening. One of the things I'd like to remind folks about is that if we were sitting at a price level that we experienced -- that this industry experienced in 2017, '18, '19 and then suddenly rates corrected to where they are now, we would call it one of the greatest hard markets in living memory. Rates are very strong in Property Cat. And I have absolutely no problem deploying incremental capacity for our best clients on well-structured accounts at the rates that we're receiving today and the rates, frankly, that I expect to be receiving next year. It's just simply -- these accounts are simply very, very well priced. In terms of the specific PMLs, it's always about risk and reward. And yes, we have increased net PMLs, but that's because of the pricing dynamics that I described and the attractive return profile that's available to us. It makes sense to take the risks we're taking. And we still remain well within the sort of risk guidelines that we've talked about every quarter with respect to earnings and capital at risk. So feeling good about that. Just to break down the PML increase, some of that is certainly growth in our gross book in both divisions. And then we continue to optimize our hedging in terms of where we're purchasing our cap bonds, really focusing on managing tail exposures, offset somewhat by growth in assets under management in our Mount Logan platform which is doing a terrific job of raising funds. So when you balance all that out, I think we're making an excellent trade, and it's one that I expect to continue to play out in the coming renewal periods.
Joshua David Shanker: By extension, is it wrong to say that maybe last year, you should have put more capital to work in PMLs and you're leaning into something that you've identified as an opportunity that was actually there last year? And two, the only other thing on the PML, the PMLs currently are higher, I think, they were after the Katrina peak. I'm just wondering, look, the system is very different at Everest. But I mean -- you're talking about how hard the market is, maybe scout and say, this is the real opportunity because a lot of people will say, oh, things are soft at this point in time right now, and you're actually deploying more capital, it looks like than you would have as a percentage of equity than 15 years ago?
James Allan Williamson: Yes, Josh, I hate to repeat myself, but I think anyone that's describing the current cat environment is soft is not well informed. It is not soft. It may be softer than it was a year ago, rates have come down, whether that's 5, 10 points. But again, compared to where rates would have been -- and you can look at any of the broker rate indexes to prove this point out, they're up massively over where they were in the 20 [teens]. This remains a very hard market. I'm not going to do the forensic accounting on where we were back in 2005, et cetera. But we think the risk/reward trade-off that's available to us today is pretty clear, and it speaks to the idea that we can deploy this capital and get rewarded for it. In terms of what we did last year, I mean, I don't see a lot of value in the retrospective other than to say, we're looking to where we want to grow on programs, we do in a very disciplined fashion. You also have to reflect on the fact that clients, they don't always accept their markets doubling or tripling their line size in any given renewal. Some of these things you do have to work up over time, and we're certainly seeing that play out.
Operator: And the next question comes from Brian Meredith with UBS.
Brian Robert Meredith: Just two of them here. One just following on the PMLs a little bit here, Jim. It looks like that where you did see some meaningful increase in exposure was kind of at the 1 in 20 and 1 in 50 year, particularly for the Southeast. Is it that you were kind of writing below the FHCF? Is that where the opportunities were? And is that also why maybe a rate that you guide was maybe better than the market because it's clearly where rate is probably better, down low? And then also, should we expect potentially more susceptibility to call it, lower-sized hurricanes here this season?
James Allan Williamson: Sure, Brian. Look, the first thing I really just have to sort of reset the question a little bit insofar as I don't consider 1 in 20 or 1 in 50 down low. And if you go back to the pre 2023 rate correction, down low would have been a 1 in 3, 1 in 4, maybe 1 in 5. So I feel like when you're trading at a 1 in 20 to 1 in 50, you're in the heart of these cat programs. And I do think it -- the fact that that's where we've been very consistently playing by the way, over the last couple of years. The fact that, that's our sweet spot certainly helped a bit on the rate change side because you're really seeing maximum competition in the more risk remote layers and especially where you start talking about competing with the cat bond players. So I just -- I really don't see that as down low. And it's really consistent. It has nothing to do with sort of external factors. It's where we see the best risk-adjusted returns for these programs that we're participating on.
Brian Robert Meredith: Makes sense. And then just pivot over to the Insurance segment. Just curious, Jim, were there any changes or have you made any changes as far as the build-out of the, call it, European or International Insurance kind of business? I mean, we're still seeing it obviously. But any changes under your leadership and what do you think -- where are we in that process? I know that can be quite expensive to build out an International Insurance operation.
James Allan Williamson: Yes. So the first comment I would make, Brian, is I really -- I'm just so incredibly proud of the team that's building that business. And if you think about an organic build over a period of really just sort of 3 to 4 years, and getting a business to well north of $1 billion in premium, rapidly pushing $2 billion and now turning an underwriting profit, I think that's a remarkable achievement. Many have tried, very few have succeeded, and we have certainly done that. In terms of the approach, there's consistency. I think one of the changes that we did make after I became CEO was to really just double down on the markets where we were already competing. And I think we are now represented, whether it's in Continental Europe and the U.K. market, in a couple of key markets in Latin America, or in the major broking centers in Asia, we have the geographic footprint that we need, and we're really just let's -- really focus on going deeper where we already have market access. And that's beginning to really pay off. And you'll start to see it as the expense leverage gets into a better spot as the earned premium sort of catches up to the growth that we've been seeing. But the strategy, which is to be a lead market, to be a multinational market, to focus on large and specialty commercial risk, that has remained consistent and it's producing for us.
Operator: And the next question comes from Meyer Shields with Keefe, Bruyette, & Woods.
Meyer Shields: I want to start with the Reinsurance segment, specifically of the reserve releases. You talked about the book of business being well seasoned property. And given the tail typically associated with property, is it reasonable to assume that unless there's some sort of inflection in loss trends that this sort of reserve release is sustainable as more of your reserves enter that well-seasoned stage?
Mark Kociancic: Meyer, I think your premise is correct. Obviously, we've got to see that play out, but we're taking the approach of making sure that those reserves are well seasoned. We're obviously just taking a fraction. We do think we've got very significant embedded margin in the Reinsurance division as a whole. I think you've seen that demonstrated the last couple of years with meaningful reserve releases in multiple lines led by property. So right now, we feel very confident. It's been a consistent driver of margin in the business, and it's something that we see all things being equal, after its seasons being released into the quarterly P&Ls.
Meyer Shields: Okay. Fantastic. That's good to hear. On the International segment, if you -- can you talk about, I guess, the books exposure to deflation outside of the United States as a result of U.S. tariffs? I mean, on the premiums and on the loss side?
James Allan Williamson: Yes. Meyer, I mean, it's a fair question. I mean, deflation on the loss side, living in a highly inflationary environment, particularly here in U.S. casualty. I'd almost welcome some deflation. It would be a pleasant alternative. In terms of tariff activity and their impact on the business, I mean, obviously, we monitor it. But at the end of the day, if you look at where we are international, we are barely beginning to scratch the surface of the markets we're competing in. And so in terms of a headwind in opportunity and revenue, it's not on my radar, really. I mean, we're focused on delivering a better value proposition to clients that resonates with them. And if we do that, we gain market share irrespective of any kind of turbulence in the external environment. And then obviously, the piece -- when it comes to tariffs, the piece we do watch closely is loss cost trend here in the U.S., and we've seen no indication that at least so far that the tariffs have contributed to any sort of uptick in loss costs.
Operator: The next question comes from Michael Zaremski with BMO Capital Markets.
Michael David Zaremski: Follow-up on the expense ratio tick up. I believe the commentary for Mark and you all has been that we should be thinking about operating leverage. So once, I guess the 1-Renewal Strategy concludes, we should start seeing some improvement. In terms of the casualty growth, nonrenewal strategy, once that's over, would that book start growing at kind of low doubles because that's where pricing is? Or how do we think about kind of juxtaposing the growth versus the expense ratio over the coming year?
James Allan Williamson: Sure, Mike. Well, first of all, just in terms of where the casualty book is going to go and the opportunities we see in insurance, as we indicated, we will complete the casualty remediation in the third quarter. And I will just comment, I've done a number of book cleanup activities in my career, and I have never seen a remediation process executed this aggressively or with this much precision. We literally -- and I don't want to replay the whole history because I know you guys have been following it closely, but we literally developed action plans for each and every one of our casualty accounts. And in the entire year that we've been working away at this, I can count on one hand the number of times that our planned activity or planned actions did not take place. So it's just exceptional and will wrap up very shortly. So look, after remediation is done, if you think about the other parts of the book, I talked a lot about them in my prepared remarks, whether it's our Specialty businesses, and that's in North America and an international comment, Accident & Health, really accident as the prior questions as we discussed, property, short-tail lines, marine, all growing very strongly. Casualty in international markets is growing today. It's not offsetting the actions we're taking in North America, but it's growing very nicely. And I expect all of those things to continue. And then as I -- again, as I said in my prepared remarks, we're open for business and casualty. We spend a lot of time engaging risk managers from some of the leading companies here in the U.S. on their casualty programs. We want to write those deals when they're well priced and well structured. And so I would not be opposed to the idea that at some point the casualty book starts growing again. It obviously also has a lot of rate momentum. But we're only going to do that where the pricing, the terms, the conditions, the quality of the underwriting and the underlying risk meets our conditions. It's -- we're not here focused on producing a top line growth outcome. It's about building the right portfolio that's sustainable and profitable. And I see an awful lot of things happening in the business that indicate we'll be able to do that.
Michael David Zaremski: Okay. Got it. That's helpful. My follow-up is just on the London Court decision. Is this now behind us? Or is there still some limit or, I guess, potential for movement there? And I guess also just you guys added a lot of risk margin on the casualty side. Was this not contemplated when you took the actions earlier this year to kind of add to the [indiscernible] issue?
James Allan Williamson: Yes. So with respect to the first part of your question, our view is barring any -- totally unexpected shift in future legal decisions. This is done and dusted for us. We took a very conservative approach to selecting the number that we posted in the quarter. And now it's behind us as far as I'm concerned. Look, as we said when the Russian invasion of the Ukraine took place and Russia sees these aircrafts, we did not have enough information at that point to make an informed decision about the ultimate loss from the aviation seizure because there were so many legal issues related to it and in terms of the coverage that would ultimately be applied. And that's why we have not posted a reserve for it until we got that clarity through this court decision. So it really bears no relation to any of the reserve actions that we took last year.
Operator: And the next question comes from Dave Motemaden with Evercore ISI.
David Kenneth Motemaden: Just had a question on the attritional loss ratio in the Reinsurance business. So I did see, obviously, the releases there on the property side. You mentioned mix shift and that was driving the 30 basis points improvement there. Did you make any changes to your forward view of loss picks on that property business as well as the -- just given the releases that you experienced?
James Allan Williamson: No, David. We've been pretty consistent in our view on property. And when we talk about property loss picks and particularly in Property Cat, we take a very prudent perspective and prudent approach in terms of selecting an attritional loss ratio that can sustain sort of any movement in loss activity. So that's been really a consistent approach for us over time. In terms of the loss pick in the quarter, the other thing I would point out, because you did see that 30 basis point improvement related to mix is the earned premium mix of reinsurance will take some time to catch up to the written mix, net written mix between property and casualty. So I still think there's some juice in terms of the mix dynamic with our attritional loss pick.
David Kenneth Motemaden: Got it. Yes. Understood on that. And then just another question just on the growth in property on the Reinsurance side. We're hearing a little bit more on -- from some broker reports a little bit more appetite to write aggregates. Just wondering what your view is on that and if you guys deployed any capacity in aggregate covers more so at midyear than you did in the past?
James Allan Williamson: So we're not really deploying capacity around aggregates. I think -- look, first of all, some people are going to do that, and that's their choice. I still think there's a bid-ask spread between what clients would be willing to pay for most aggregate structures and then what responsible reinsurers would charge for those structures. So I just don't see there being a lot of trading that makes any sense. I do think over time, there's obviously a lot of thought going into how do you create -- how do you start solving some of the risk management problems of our clients. In my view, it's not going to look anything like the aggregates of old, where you could just have this runaway sideways loss activity, but we're certainly very open to working with our clients to try to solve their problems.
Operator: And the next question comes from Elyse Greenspan with Wells Fargo.
Elyse Beth Greenspan: My first question is on workers' comp. I was hoping to get more color on what you're seeing in the comp market in California. I know another insurer had flagged a huge uptick in cumulative trauma comp claims in the state. And then also, can you confirm how much of your book, your workers' comp focus in California today? And do you intend to keep pulling back there?
James Allan Williamson: Sure. First of all, before I get to California, just a broader comment. I mean, we're all waiting for the workers' comp market to begin recovering and I think there's enough indication that it needs to start doing that in terms of the fact that rates have come off so consistently. We did see actually a rate uptick in our own portfolio in the quarter which is certainly a positive thing to be seeing. In terms of California, it is a much smaller portion of our book than it was a year ago. And it's something where we did have a specialized underwriting unit that was focused on California comp. And essentially, we've stopped really focusing on that. With that specialized unit, we've run that piece down. And so we're only writing California comp when it's part of a broader portfolio. And I don't expect that to change.
Elyse Beth Greenspan: Okay. And then my second question is a clarification going back to just the Russia, Ukraine increase you guys took in the quarter. What percent of your cedents have notified you of their losses at this point? And how many have made on private settlements? Because I believe brokers have noted that a lot of the claims have resolved with private settlements?
James Allan Williamson: Yes. I mean, that's certainly been a widespread reality. I think -- look, the key thing for us is we've been in direct contact with our cedents over the course of this process, which by the time we finally got legal clarity around how losses would be adjudicated, we have plenty of information to develop a loss that we have a high degree of confidence in. So whether they've actually tendered a loss or not, we have a beat on where this thing is going, which is why I feel really comfortable with the number we put up.
Operator: And the next question comes from Andrew Kligerman with TD Cowen.
Andrew Scott Kligerman: So a few clarifications. I'm looking at your Insurance segment, other underwriting expenses at 18.5% year-to-date versus 16.8% in the prior period. And Jim, you talked a little bit about going deeper in the international regions where you are. I look at that 18.5% versus your peers, and it looks like there might be 2, maybe 4, 5 points of potential improvement there. Maybe you could help frame the outlook for that as that business as you get through 1-Renewal and potentially start growing? Where could that ratio go?
James Allan Williamson: Yes, Andrew, I agree with the idea that as we reach scale in these markets, we should certainly be in a much better spot than 18.5% year to date or 18.9% in the quarter. Just the one thing I do want to table set for you a little bit in terms of how I think about this. Obviously, expenses are important. Our overall Group expense ratio, I think, is best-in-class. Our Reinsurance expense ratio is world leading. So clearly, we understand how to be thoughtful about expenses and manage that line item very carefully. At the same time, there are 2 really important things happening that are driving what you're seeing printed. Number one, when it comes to the North America remediation, as I've articulated a number of times, we are not slowing down. I'm not worrying about top line, where if it makes sense to run off an account, we do it, we don't sit there and think, well, this is going to pressure the expense ratio. And as I said, that's going to complete in the third quarter. And to your point, will become less of a headwind relative to expense rate as we put that behind us. And then the other and very much the other side of this coin, our International business is performing extremely well. It has a world-class loss ratio. And we want to fuel the growth of that business. Yes, we're going deeper in the markets where we already are and that will help us in terms of expenses because we don't have to open new operations in lots of different countries. But we're still hiring a lot of people. We're still investing in technology. We're still out there marketing ourselves to drive that growth. So you've got 2, to me, really, really sensible courses of action that both will tend, in the short term, to put upward pressure on the expense ratio. But then over time, as Mark had indicated earlier, we're very confident that we're going to get into a better spot as we go forward. Hopefully, that helps.
Andrew Scott Kligerman: Yes, that helps. And then maybe just 2 just follow-up clarifications. A&H and Insurance and your Property Cat business, just the returns. Just curious with the A&H book, what particular regions you're big in right now and what type of return on capital you're seeing there? And Jim, by one of your comments earlier on the Property Cat business saying it was more attractive than return -- repurchasing shares. I would think that implies like north of a 25% return on capital. Is that right for the Property Cat reinsurance?
James Allan Williamson: Yes. So let me start where you ended. Absolutely, it means north of 25% for Property Cat. And I think in some of the peak zones, whether it's Southeast Wind or Cal quake, et cetera, you're looking well higher than that. And I think, by the way, that's true of just about every cat market around the world. I'm a little more thoughtful or careful about European win, but pretty much everything else is well north of that kind of number. And hence, our interest in continuing to write the business, and it's also why a number of times during today's call, you've heard me push back on any notion that this is a soft market. Yes, rates are going down, but it's still outstanding. In terms of Accident & Health and really all of our businesses, I think one thing that I can assure you is if we're growing something, it means the expected return meets or exceeds our threshold, which for the Group, we've talked about mid-teens total shareholder return over the cycle, et cetera. So I expect the Accident business to be healthily above that. And we write that business. It's still mainly a North America business, but we have a terrific emerging International business that's led out of London. The team there is doing a great job, a lot of growth, particularly in Europe, and increasingly in Asia. So I think there's tons of headroom in that business. And again, it's a business I know well from multiple carriers, and it's a low volatility business that can just deliver some really excellent returns as it gains scale.
Operator: And the next question comes from Katie Sakys with Autonomous Research.
Katie Sakys: I wanted to follow up on the discussion of the reserve release in the Reinsurance segment. I think at least in recent years, we have become accustomed to really only seeing changes in your reserve assumptions at the end of the year. So I guess I was curious as to whether we can expect to see a more common cadence to attritional property reserve releases. And then sort of tagging on to that, interesting to see that the reserve release on the reinsurance property lines wasn't quite enough to offset the charge on the Russian aviation losses. Any additional color that you can give for us on that?
Mark Kociancic: Well, I think, as I said before, we do want to get into a quarterly cadence on development, obviously, where we can. Clearly, the data has to be there to support it. We feel real good about the margins that we have and the expected margins within the Reinsurance segment as a whole. So very confident about it. In the past, we've waited somewhat to be a little more conservative in terms of the emergence, but we're just taking a portion here of older property that's well seasoned. Now Russia, Ukraine, that's totally independent. That's something that we said back in 2022 when it was originally set up that it was undefined. We didn't have the ability to make a provision for it given the uncertainties associated with it. So the concept of offsetting the two just doesn't answer the equation. We really look at these things independently. Having said that, and I'll reiterate a comment I made earlier, we do feel very confident in the embedded margin that we foresee in the Reinsurance segment. So this is, I think, the beginning of a more normal cadence to your point.
Katie Sakys: Got it. And then shifting to some of the premium growth figures. A very significant reacceleration in financial lines Reinsurance growth this quarter, great to see. Could you give us a little bit more detail on your outlook for the line going forward over the next 12 to 18 months? And if you expect to continue to grow at a similar clip?
James Allan Williamson: Sure, Katie. Just in terms of maybe a little reminder for everybody on what's in there. For the most -- it's not financial lines, the way you might think of the Insurance business, D&O, E&O, et cetera. It's credit-exposed lines for the most part. And in particular, our mortgage business is in that segment. And you had a couple of meaningful mortgage transactions that contributed to that growth in the quarter. In terms of where we see the mortgage business right now, rate levels in the mortgage reinsurance market have been under quite a bit of pressure. And so we're being very cautious in that particular line. So I'm not going to give you any forward guidance, but I wouldn't necessarily expect that what you saw this quarter in the Financial Lines segment and Reinsurance would be a normal pace for the foreseeable future.
Operator: Thank you. And that concludes the question-and-answer session as well as the event. Thank you so much for attending today's presentation. You may now disconnect your lines.